Operator: Good morning. My name is Ashley, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Goodyear Second Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After some opening remarks, there will be a question-and-answer session. [Operator Instructions] Please note that this call may be recorded. It is now my pleasure to turn the conference over to Greg Shank, Senior Director, Investor Relations.
Greg Shank: Thank you, Ashley. Good morning, and welcome to our second quarter 2024 earnings call. Today on the call, we have Mark Stewart, our CEO and President; and Christina Zamarro, our Executive Vice President and CFO. During this call, we will refer to forward-looking statements and non-GAAP financial measures. Forward-looking statements involve risks, assumptions and uncertainties that could cause actual results to differ materially from those forward-looking statements. For more information on the most significant factors that could affect future results, please refer to slide 20 of the supporting presentation for today's call and our filings with the SEC. These materials can be found on our website at investor.goodyear.com, where a replay of this call will also be available. A reconciliation of non-GAAP financial measures discussed on today's call to the comparable GAAP measures is also included in the appendix of that presentation. With that, I will now turn the call over to Mark.
Mark Stewart: Thank you, Greg, and good morning, everyone. Welcome to our second quarter earnings call. Thank you for joining us, thank you for your interest in Goodyear. I want to start this morning by saying we are clearly progressing on our goals as part of our Goodyear Forward Plan, and that is true on multiple fronts, as well as in each of our key work streams of the Goodyear Forward Plan. In the second quarter, we achieved significant margin expansion, another strong quarter of year-over-year earnings growth. We have just recently announced the sale our off-the-road OTR business, another important step as part of our overall transformation plan. Having said that, the industry environment in the first half has not been supportive, including downgrades to OEM production levels and significantly more challenging replacement markets, which has been saturated by low-end imports. We're anticipating that the industry challenge will continue through the second half. In that environment, and as a result, we will continue to focus on profitable volume segments of the market as well as the areas that are generating the highest return for us, as well as continuing the execution of our cost reduction efforts. To be very clear, we continue to make and execute the appropriate adjustments in our cost base to ensure we make good year forward objectives and our operating plans. We are already making good progress and these recent challenges means that we will need to continue to dig deeper. We will continue to execute to continue to achieve our goals. Moving on to the financials. Our second quarter segment operating income was $339 million and segment operating income margin was 7.4%, which is almost triple the margin we delivered in the second quarter of 2023 EPS on a reported basis increased by over $1, and on an adjusted basis, EPS grew $0.53. Clearly, our execution has been strong. Our results show strong price/mix versus raw materials and stepped up results on Goodyear Forward savings with two of our business units, demonstrating and contributing strong growth in earnings. Americas saw remarkable gains with SOI up nearly $140 million from last year. In the U.S., our volume performance in the 18-inch and greater segment was in line with industry. With a different story in the smaller rim sizes, where imports have taken shelf space as well as liquidity of large distributors around the Americas. Magnifying this challenge, industry sellout in the U.S. retail channel was negative during the quarter and down high single-digit to low double-digits at the traditional retailers. This instigated heavy promotional activities by other manufacturers at the lower end of the market. We continue to focus on complexity reduction, our platforming as well as looking at the blank spaces in the high end of the market. We are continuing to work in front of us. As part of our plan to boost margins, we continue to execute SKU rationalizations margin enhancement actions to address profitability on low-margin, low-value products as part of our Goodyear Forward plan. This is important for us as we reach -- as we work to reduce -- excuse me, our exposure to the increasingly competitive Tier 3 and Tier 4 segments of the market. In Latin America, we experienced some temporary volume softness in the quarter as a result of the changes we're making to distribution as well as the flooding in Brazil that happened early in Q2. Earnings therefore remaining strong, but we continue to feel very good about our market position in Latin America. In EMEA, results were relatively stable despite an OE industry that contracted 5%. Importantly, we continue to demonstrate industry-leading innovation and product technology. During the second quarter, our Goodyear Vector Gen-3 All Season was awarded to test winner by ADAC. This should help drive price and mix for us in this fast-growing segment over the next several quarters. Like in the U.S., EMEA's lower-tier brands and the product lines have been hurt by growth in imports, particularly in Eastern Europe. Over the past quarter, we were able to finalize the required consultations related to our previously announced factory closures in the region, which will help address our cost structure in EMEA. Asia Pacific continued to see significant growth in both volume and earnings and turned its third consecutive quarter of SOI margin above 10%. Volume growth was driven by fitment wins in consumer OE market and primarily in the EV, electric vehicle segment. Having said that, the consumer replacement industry in China was weaker than we expected. So, Asia-Pacific continues to set the standard performance. Turning to Goodyear Forward, it's clear that the speed of execution towards our Goodyear Forward plan is critical. In SAG, we've made great progress in EMEA with our transition to shared services. We've also just recently announced a plan to open a new shared services center in Costa Rica for the Americas. In manufacturing, Christine and I are continuing to meet regularly with our factory leaders reviewing progress against our efficiency plans and making sure any roadblocks are removed. As just one example, the team has been able to achieve record levels of OE yield over the last couple of months. We are cascading our benchmark level performance by process across the world. We've also implemented tight controls and efficiency tools covering manufacturing and SAG spending, and we are seeing early returns. By June, we achieved a reduction in Americas overtime hours of 15 -- over 15%. At the same time, we're optimizing our real estate portfolio. And in one example, we reported the sale of valuable piece of property in Germany this quarter. These types of optimizations will continue going forward. In R&D, we've focused the team on industrializing premium SKUs for the market, executing on consolidating parts through using common product platforms to address our cost structure on lower tier SKUs. And finally, in our retail operations, our execution is ahead of plan as we have focused on driving incremental traffic into our base. We're doing this by focusing our retail value proposition with both traditional customer base, and through new last mile fleet customers as well. We are fully committed to Goodyear Forward. We remain confident in delivering our target of 10% SOI margins by the end of next year. Now I'll turn it over to Christina to take you through the second quarter financials, and we'll move on to the Q&A section.
Christina Zamarro: Thank you, Mark. I'll begin with the income statement on Slide 8. Sales totaled $4.6 billion, down 6% from last year, driven by lower volume and unfavorable price mix due to continuing weakness in commercial truck sales and OE RMI index agreements. Unit volume was 2% lower versus last year. Overall, replacement volume declined by 7%, driven by decreases in the Americas. Original equipment volume increased 13%. Segment operating income for the quarter was $339 million, up $215 million from a year ago. After adjusting for significant items, our earnings per share was up $0.19 and up $0.53 on a year-over-year basis. The year-over-year drivers of our second quarter earnings are shown on Slide 9. The impact of lower tier unit volume was $41 million and factory utilization was a headwind of $35 million. Segment operating income benefited from favorable net price mix versus raw material costs of $99 million, raw materials were a benefit of $158 million in the quarter. Price/mix was negative for the quarter, driven by contractual pricing adjustments with our OE customers. Sequential pricing from the first quarter was stable. Goodyear Forward initiatives contributed $90 million in the quarter, with benefits driven largely by purchasing initiatives. Inflation was $59 million or about 3%. This was partly offset by favorable other costs of $34 million, driven by lower transportation. The non-recurrence of the 2023 Tupelo storm was a benefit of $50 million. Insurance recoveries, primarily related to the fire in our Dębica facility and the tornado that impacted our Tupelo facility, netted with related current period expenses was a benefit of $63 million. Other SOI of $14 million reflects lower advertising, depreciation and compensation expenses in the quarter. Turning to Slide 10. Net debt totaled $7.7 billion at the end of the second quarter, relatively flat with last year. Free cash flow was a use of $346 million during the quarter compared to a cash inflow of $96 million last year. Working capital was a use of cash compared to an unusually strong inflow last year, which reflected the impact of declining raw materials and inventory reductions following the storm-related shutdown of our T Below factory. Moving to our SBU results and starting on Slide 12. Americas second quarter unit volume decreased 6% or 1.2 million units, driven by replacement volume. While the overall U.S. replacement industry grew slightly during the second quarter, this result was distorted by an 18% increase in low-end imports. This year, nonmember import volume has reached an all-time high. Industry member volume, which primarily is represented by large branded tire companies was lower on a year-over-year basis. In addition, our volume in Latin America declined following deliberate shifts in our distribution and higher imports. Segment operating income totaled $241 million or nearly 9% of sales, reflecting an increase of $138 million. Americas earnings benefited from the execution of Goodyear Forward initiatives, net price/mix versus raw materials recovery from the Tupelo storm and lower transportation rates, which more than offset lower volume. Moving to Slide 13. EMEA's second quarter unit volume decreased 1% or 200,000 units driven by replacement. Our volume reflects growth in in Western Europe, but declining volume the East. Particularly in Turkey, following our pricing actions in response to continued hyperinflation in the country. Segment operating income was $35 million and up $54 million from a year ago. Favorable net price mix versus raw materials, insurance recoveries net of related current period expenses and Goodyear Forward actions more than offset unfavorable fixed overhead absorption and higher inflation. Turning to Asia Pacific on Slide 14. Second quarter unit volume increased 8% or 700,000 units, driven by OE growth in China. Segment operating income totaled $63 million and 10.6% of sales, an increase of $23 million versus prior year. Agent earnings benefited from favorable net price mix versus raw materials, volume and Goodyear Forward initiatives. These benefits were partly offset by higher inflationary costs. Turning to our outlook on Slide 16. We have revised our full year outlook for unit volume to be more reflective of our first half experience. We expect third quarter global unit volume to be down approximately 4%. In addition, we expect higher unabsorbed fixed costs of $30 million driven by lower production volume during the second quarter. Raw materials will increase approximately $50 million, which we expect to offset with improvements in price and mix. Strong execution on Goodyear Forward will drive approximately $120 million of an SOI benefit during the third quarter. And as Mark mentioned, we've increased our full year outlook for Goodyear forward, reflecting the great progress we're seeing across each of our work streams. Inflation and other costs are expected to be a net headwind of approximately $60 million, reflecting 3% general inflation in the quarter. Other financial assumptions on Slide 17 have also been updated to reflect our most recent expectations. With that, we'll open the line for your questions.
Operator: I'll turn the call to speakers for any closing remarks.
Christina Zamarro: All right. Thank you, operator. We do have a handful of analysts who are transitioning between jobs and another one out. If you have any questions, we can certainly follow up with us later today and tomorrow. Thank you for joining. Goodbye.
Operator: Thank you. And this will conclude today's program. Thank you for your participation. You may disconnect at any time.